Anssi Tammilehto: Good afternoon, everybody, and welcome to discuss Neste's Q2 results that were published early this morning. My name is Anssi Tammilehto, I'm the Head of Strategy, M&A and Investor Relations at Neste. Here with me on the call, we have our President and CEO, Heikki Malinen; and our CFO, Eeva Sipila. We will be referring to the presentation that can be found from our website, and please pay attention to the disclaimer as we will be making forward-looking statements in this call. And the presentation includes key highlights, for example, our Q2 financial performance and the status of our financial targets, including the performance improvement program that is progressing well and the work continues. We will also discuss the key regulatory developments and geopolitical topics and also the outlook. In the end, we will also have time for discussion with you all. With these remarks, I would like to hand over to our President and CEO, Heikki Malinen. Heikki, please, floor is yours.
Heikki Malinen: Anssi, thank you very much, and good morning everybody. At Neste, we start our presentations with safety. Safety really is the core of everything we do here. This slide has 2 pieces of information. First of all, on the left-hand side, you see the data on total recordable injury frequency, which is the so-called the people element of safety. It's calculated based on incidents per million of hours. And you can see from the direction of travel that this year, we have been able to start to reduce the number of incidents and we are heading more in the right direction. However, I want to say to you that the figure we have there, 1.6, is not where we want to go. We want to go clearly lower. In this type of an industry, we can and we should be lower. So we have our work cut out for us, but I am happy to see that this quarter went the way it did. On the right-hand side then, we see data on process safety. And we've had actually 2 remarkably good quarters now behind us, Q1 and Q2, where we had basically no PSE 1, PSE 2 incidents. Those are the more of the high-risk events. Why is process safety so important? In this type of an industry, we're dealing with fuels, high pressure, high temperature, very flammable -- easily flammable material, which, of course, when it gets in connection with oxygen can create flames, can create even explosions. So we really have to monitor process safety very carefully. Even small pin holes can create problems. So it's very much a matter of preventive maintenance, asset integrity analysis, trying to understand where you might have corrosion risks and so forth. So as said, a good performance from the team and happy to share this information with you. Then if we look at sort of the main -- the key themes at Neste that we're focusing on and what actually we've done and how they are progressing. So let me start from the left-hand side, reliable operations at the refineries. Well, we remember how last year ended and how we've now been in recovery mode this half year. Our availability and reliability at our plants has been much better. Sure from time to time there are incidences, but it's also a matter of how you recover from them and how well you can anticipate potential risks. So I was really happy to see that our utilization levels were high, availability was high and overall performance was good. And then, of course, the Rotterdam modification, which started in April. We now have SAF capacity there as well. The reason why operations are important, of course, from the reliability standpoint is the logic of a positive spiral. So good reliability, good operations also means better safety. It also means the ability then to more effectively reduce cost. It also means less extras, for example, demurrage costs when you have delays, less shipping costs and hopefully also happier customers. So we really want to continue and get ourselves on this positive spinning wheel and continue to gain momentum as a business. On the right then, achievements on the commercial front. When I started, I mentioned that we, at Neste, want to become much more intimate with our customers. We need to put more emphasis on our commercial approach. We need to find new good customers for us who will sort of match up well with our offering. And in the second quarter, we were again able to expand the roster of companies, DHL, Amazon, FedEx, brands, which are very well known. Today, Neste is the world's largest producer of renewable airline fuels. And if we looked at the results of the second quarter in terms of volume, SAF sales went up 80% and overall renewable volumes in the second quarter were the highest in Neste's history. So again, kudos to team Neste for good work there. And then I'll talk about flexibility and competitiveness later. But I think when we look at the situation, especially vis-a-vis Singapore, so our ability to move our volumes into different jurisdictions is also a key part of our core strength. But I'll come back to competitiveness later in the back half of the presentation. Then the performance improvement program, we'll talk about it extensively today. What I can report to you is that we are on track. We are moving forward as we have planned, as we intended, and that's a good thing. The objective here is still to reach the EUR 350 million EBITDA run rate improvement by the end of '26, that is what we told you in our capital markets update in February in London. And then finally, Rotterdam capacity expansion, it is progressing. You remember from our earlier meetings that it is delayed. It will cost more money than we had anticipated. It is a big project. It's going to be the largest SAF renewable refinery on the European continent, probably maybe even worldwide. And it is really a core part of Neste's long-term strategy. So a lot of time spent on that. I've been to Rotterdam multiple times, keeping an eye also from my standpoint on how things are progressing. But as said, a lot of work still remains to be done in Rotterdam and that's a high area of focus. Then if we look at the Q2 numbers, Eeva will dive into the details in a moment. I just want to highlight -- out of these 6 numbers, I want to highlight a couple of things. I already talked about the amount of volume we sold, that was a positive. Gives us also confidence that our product is a good demand for our products. People like what Neste produces. On the lower side in the middle, we had the cash flow number. Recognizing the amount of debt we have and also the fact that we have significant investments ongoing, I was very pleased that our free cash flow was as high as EUR 226 million. We, of course, continued to put a lot of emphasis on working capital management, and of course, trying to generate more profits than to get good free cash flow. Maybe a comment still on the upper right-hand corner on oil products. The refining margin at $10 a barrel was less than we had hoped it would be. One issue we are carefully sort of thinking about is the crude oil slate. The cost of crude oil, it has risen and we need to think carefully about continue working on how we can expand our crude slate to reduce those costs. But we will see how that progresses. Then here's my slide on the performance improvement program. I'm very pleased that we can report here that the EUR 107 million EBITDA run rate improvements have been booked. The process is very rigorous. We are conservative with Eeva and my colleagues. It's important that every single saving we identify and we take to the process that we are confident that will really create value. So just to give you a bit of a sense here that out of the probably 400 initiatives we have, once they get to the level of the so-called the G3, G4 phase, myself and my closest colleagues we scrutinize all the initiatives. So we want to make sure that they are bona fide real initiatives and that they will then deliver. So as said, I'm happy with the way this has started, and it's a 2-year program. So we have now 2 quarters. We still have 1.5 years to go. But I'm happy and confident about the trajectory of travel. One final thing I want to say here about this whole -- how I think about this program. When I started at Neste, I mentioned that the way I sort of see Neste transforming it is that we've come -- we've been very much a development-oriented company with a lot of expansion, but we need to transform ourselves into a global industrial enterprise. And part of being successful long term relates to the fact that we need to be very good at continuous improvement. And so for me, this program is also sort of a segue into making also Neste much better in the area of continuous improvement. And we've done a lot of things here alongside of this program to continue strengthening our bench strength in that area. And hopefully, that will then carry Neste forward well into the future once this exercise is done and completed. Those were my introductory remarks. Let me now hand it over to Eeva and she will dive into the figures. And I'll then come back with some more commentary about regulatory topics and so forth. So Eeva, please.
Eeva Sipila: Thank you, Heikki, and good afternoon to everyone on my behalf as well. I'll start with a few words on the market before going into the Neste financials. So many of you will recognize this renewable diesel reference margin that we've been sharing with you to -- as a good proxy on the market. And for the benefit of those who are newer in the audience, a reminder that this is indeed a gross margin. So we deduct the feedstock costs from the revenue. However, you should note that the difference between the gross margin and then the sales margin we will talk later in the presentation about is then the production and logistics costs. So there are 2 different things. But what you can see from the graph is that the market was volatile, but on a sort of positive trajectory during Q2 and that gave us some tailwind for our business. Moving then to the Neste financials. Q2, our group comparable EBITDA reached EUR 341 million. Of this, Renewable Products was EUR 174 million, really thanks to reliability driving volumes because in the market, the feedstock prices continued high. In Oil Products, EUR 135 million for the quarter. As Heikki mentioned, the refining margin was a disappointment for us. Volumes as such were good. So again, here, the reliability did support our profitability. And then on Marketing & Services, EUR 32 million. Considering that the market is actually down year-over-year, the team did very good work on commercial operations to compensate. Performance improvement program is obviously a key part of what we're doing at Neste, and happy to report that whilst the run rate -- annual run rate at the end of June was EUR 107 million, in the quarter we had a realized impact of EUR 26 million. And in order to give you a bit of an idea on the broad array of things we are working with, there is some detail on the slide. I would say that the majority we are working on is really around procurement costs. The head count reductions were done a few months back. Now we're really into less spending, but also then spending more wisely, renegotiating quite a lot of procurement contracts. On the logistics side, a business with a global network like ours, there's a lot of opportunity for efficiency. So we're looking at the routes, we're looking at how much we ship with -- how much we sort of optimize in various parts of the sort of transportation chain. And a lot of work going in all aspects of that. Part of our profitability improvement is also from reducing the amount of leased assets, terminals we discussed, I believe, also in the first quarter. That's been a sort of first area with good potential for rationalization and then we see the benefit also on the asset side. In some areas, we're still in the sort of one could say low-hanging fruits, quicker wins, but ramping up sort of now very well for the second half. Moving then into the segments. So I'll start with Renewables Products and then maybe a few highlights from this. On the left-hand graph, you see very well in the column the volume increase supporting. And when you combine that with the sales margin, that this was continued on upward trajectory, obviously, that supports the profitability improvement. Moving then to the right-hand side. I know some of you like to compare sequentially. So there's a few things I'd want to point out. On the sales volume side, obviously, the SAF volume, thanks to a very good ramp-up of the new line in Rotterdam. We've been able really to sort of double -- more than double our SAF sales in the quarter. Also, it's worth noting that we've continued to successfully focus on our home market, Europe, with our sales with European sales amounting for 73% of our sales. So the North American share continued to decrease from the Q1 levels. Then on the margin side, I'd like to highlight that we did now for the first time booked the CFPC credits for the Q2 share, not yet Q1. The clean air production credits are still waiting for some regulatory confirmation and final details, and we want to wait for that. We do expect that to come during the second half and then we'll be able to proceed. But we now booked EUR 33 million for the Q2 share. And that obviously supported our margins. At the same time, there were also negatives. Diesel price was clearly lower compared to Q1. RINs were up, but at the same time then so were U.S. feedstock costs. So all in all, a net positive of EUR 11 million for the quarter. And still maybe just to point out the fixed cost. So the profitability improvement program is obviously visible also on this graph. Moving then to Oil Products. So you see the refining margin on the left-hand side, and really, it was basically flat from Q1. And that's considering that Q1 was hit by the warm winter in our home markets. Then the Q2 margin was, indeed, a disappointment really coming from 2 factors. The crude slate we use was more impacted by the volatility in the oil markets. We all know the all the various events during the Q2, and clearly, our production costs were then relatively tougher. And at the same time, the gasoline export markets were also very tough and contributed very little to the overall. So then despite the sort of volume support, the margin improvement was very small. Moving then to Marketing & Services. So here, you do see on the left-hand side the sales volume reflecting really the market demand kind of on a downward trajectory. Obviously, in Q2, we do have the seasonal support from the B2C market recovering. So that helped on the right-hand side comparison. But I think the sort of team really excelled on the commercial front and worked hard to reach the EUR 32 million that we delivered. Then on to the group level again. So we've talked about capital discipline and the focus on cash flow being very high on our agenda. And pleased to report that in the Q2, we were able to demonstrate that tight discipline and had cash-out investments of EUR 221 million. You may have noted that in the full report, we did also guide for the full year number to be slightly lower. So we're now in a range between EUR 1 billion and EUR 1.2 billion, which would mean that we're slightly higher cash out in the second half. Now this is due to the maintenance breaks in Rotterdam and Singapore that are upcoming. Normal business events as such and -- but good to note. On the cash flow, on the right-hand side, this is thanks to good profitability, but more importantly also very focused work on the working capital. So we were able to clearly reduce cash from working capital to the extent that actually we were successful in pulling some of our initiatives into Q3 that we had originally assumed that it would only impact Q3. So altogether, the first half when we can report that we were able with operating cash flow to fund our CapEx growth in Rotterdam, that's a really big achievement from the team and something we're very proud about. I think looking forward, it's good to note that in the Q3 the cash flow will be more dependent on the operating profitability. We will have to add inventory because we are preparing then for Rotterdam maintenance break. And obviously, we need to be ready to serve our customers throughout that 6-week time period normally then in Q4. So you'll see an impact on that in Q3. But altogether, really the positive cash flow helped us secure our leverage at sort of below our financial target. We're obviously still very close to the bar and it requires a lot of attention in the coming quarters as well, but nevertheless, I think a sort of a good indication of the capacity we have when we really put all our full team focus on what is important. And with that, I would hand it back to you, Heikki.
Heikki Malinen: Thank you, Eeva. So let's switch gears for a moment and talk about a fairly complex topic, and that is regulatory affairs. Obviously, the world around us is there's a lot of stuff happening and during the second quarter many, many new initiatives and laws were prepared. I'm going to go through first what's happening in the European Union and then say a few words about the U.S. situation. So first of all, with respect to the EU, we know that as far as the ReFuelEU is concerned and aviation, particularly, we have now the 2% mandate until 2030. And if we look at what that means in volume terms for mandated volume, that is about 1.2 million tons. So the question for us, from Neste, is that as we are now also constructing the new refinery in Rotterdam, which starts in 2027, how do we actually bridge then ourselves in the industry from 2% now to the 6% in 2030? And our position is that the European Union should help to develop some type of a bridging mechanism on how to get voluntary demand, so to speak, pulled forward from the post-2030 time period. So last week, there was an industry dialogue on the Sustainable Transportation Investment Plan or S-T-I-P, STIP, in Brussels that I attended. And the discussion really was among various topics, one of them was this bridging question. Neste has proposed that idea could be to use the ETS tool to provide a mechanism to narrow the gap between the kerosene price and the SAF price as one idea. There was also a discussion about the book-and-claim approach, whether that could be a help to further support the market. So I guess, our view is that we hope that the work of DG MOVE will continue, and they have indicated that during the course of autumn, hopefully, we will then hear something more. On the Renewable Energy Directive, RED III, implementation now as it goes into the member states, there were some very exciting news coming out of Germany. So in Germany, they are considering actually a number of things, which when you turn that into volume we can calculate that it should create as much as additionally 2 million tons of volume if it were to be implemented as presented. But let's see, the German process will take its own time, and then we will then see what happens. But net-net still, I think the direction of travel is that there will be implementation plans, which help create more RD volume. So that was a second positive thing. Then on the U.S. front, 3 subjects: the renewable volume obligation, RVO; the LCFS, the Low Carbon Fuel Standard; and then the CFPC. So a couple of observations. So the RVO decision here, actually, it's a very strong market signal. And the administration actually is to be commended for really taking a historic decision of this type. So it's a very positive for the whole sector and the industry. So we're very pleased to see that. From the standpoint of Neste, don't remember -- don't forget we have half of Martinez in California. And then we also own a quite interesting feedstock business, which we internally call Mahoney where we collect used cooking oil from nearly 100,000 kitchens. So well, as the programs in the U.S. focus very much on the domestic industry, Neste can participate in this either through the -- both from the standpoint of the collection of feedstocks through Mahoney and then, of course, through Martinez and the joint venture with Marathon. So those are good things. On the Low Carbon Fuel Standard, it went into effect on July 1. And then on the CFPC, the 45z tax credit, so well, they will expand the credit pool. And we will then see in practical terms, we will come back to more detail on how Neste will then hopefully react and respond then and benefit from that. Then let's talk about Rotterdam again because this is an exciting confirmation that our investment program is moving forward. We have now had the start in April. It is 0.5 million tons of capacity. And then when Rotterdam 2 starts in '27, that will be additional 700,000. So totally by the end of 2027, we will have 1.2 million tons of SAF capacity. And as I said before, if we look at the current volume of mandated SAF, it's 1.2 million. So basically, Neste in itself out of Rotterdam could supply the whole European demand. And that is why we believe that we need a bridging mechanism to take us into 2030 mandates earlier through a voluntary scheme. I mentioned at my opening about flexibility and Neste's competitive advantage. I wanted to open this up a little bit with a few more details. So first of all, if you look at the left hand of the slide, we often talk about feedstocks. And I really want to -- the more I sort of work here at Neste, I've really come to understand the tremendous strength of Neste when it comes to global access of feedstock. So we are constantly sourcing more and more. We're broadening our geographic footprint. And we have a very strong sourcing team that is able to take advantage of different opportunities globally as they materialize. As I already said, we are backward integrated in collection in the U.S., but also in Europe we are partially backward integrated. And we are developing our trading capabilities as our feedstock business grows over time. On the middle side here, production on 3 continents. It gives us an opportunity to optimize, that is an advantage for the company. We also have leading pretreatment technology. And don't forget, this is also not a question only of getting access to feedstocks, but also access the feedstocks, which are cheaper and oftentimes more complex to process. So our pretreatment capabilities in our new refineries are unique and things where we can try to squeeze more value out of the system. And then an important point here is the ability to move between SAF and RD. So if we see that it is commercially more viable and more interesting to produce RD, we can allocate of SAF volumes in that direction, or vice versa, we can move then RD back to SAF both in Singapore and then in Rotterdam. So this flexibility both geographically, but also between products, on a case-by-case, month- by-month, quarter-by-quarter basis is a strength of our industrial system. And then finally, global commercial presence. I'm very happy to see these great brands, FedEx, DHL and Amazon, be interested to buy from Neste. And I think that's really the essence of some of the sources of strength for the Neste system. Then I want to close off, before I mention the outlook, just about a couple of opportunities and uncertainties. Obviously, this industry is facing global challenges like so many other industries. I want to highlight, as I mentioned, the German bill, that is a net-net positive. Let's see how it gets implemented. And also the fact that if we can get EU now to do something on SAF demand, that will also be a big positive. Eeva mentioned the need to diversify our crude oil slate. We're doing a lot of work around that. And if successful, that would help us also take some of the pressure off in terms of the OP production costs. And then finally, on the uncertainties, I guess, the global macroeconomy remains a bit unpredictable. But I think Neste has so far managed pretty well to get through these more challenging times. Then on the final point here, if we go to the market outlook, so the outlook for Neste for 2025, if I just readily go through it. So the uncertainty in global trade and geopolitics and their impact on the global economic outlook are causing market volatility. Markets for both renewable fuels and oil products are sensitive to oil price development. The market in renewable fuels is expected to remain oversupplied in 2025. And then we have the guidance, it is unchanged. And I think we mentioned here earlier on the additional information at the bottom about the change in CapEx that you can read at the bottom. So a lot of information for today. And I think, Eeva, are we ready to take the questions?
Eeva Sipila: I think we are.
Heikki Malinen: Okay, excellent. Please.
Operator: [Operator Instructions] The next question comes from Alejandro Vigil Garcia from Santander.
Alejandro Vigil: The first one is about your sales strategy. You're selling more into the European market, significantly more than in the previous quarters. Of course, it depends on the opportunity in terms of both markets. How you see this opportunity in the coming quarters? You see the U.S. potentially more attractive or you will keep focusing on the European market? And the second question is this very interesting comments about the SAF regulation. I'm also interested in your thoughts about the synthetic fuels, the 2030 mandate in the European Union. Is this is something that could also be adjusted by market reality or market conditions?
Heikki Malinen: So Alejandro, thank you. Eeva, if I take these questions to start up. So on the sales strategy, so very happy that we have this flexibility. The RD market in Europe has been short and we have been able to sell volume from Singapore to keep the refinery running quite well. So I'm very happy with that. Of course, we need to look at this quarter-by-quarter. But now that we have the system flowing and especially if, for example, the German decision goes forward, we believe there will be good demand for RD. And so of course, the U.S. market is an option but it, of course, will be very situational, I think, at the moment for the time -- for the -- probably for the near term. Then on your question about, I guess, synthetic, you're referring to eSAF, if I understand correctly. Of course, Neste, our position is we're focusing on these renewable products. We are not producing eSAF. We have no plans to get into the eSAF business at this point in time. We have other interests. Of course, for Europe to completely decarbonize itself in aviation, eSAF will be needed. But I think it's enough to the European Union and the respective producers then to find a mechanism how those investments go forward. I think there are quite a lot of investments, but very few FID so far in that area. But as I said, Neste is not involved in that.
Operator: The next question comes from Derrick Whitfield from Texas Capital.
Derrick Lee Whitfield: I have 2. With the first one, with respect to your EBITDA margin bridge on Page 13, could you perhaps speak to where you're seeing the greatest contributions in your fixed cost improvement? And then separately, as a second question, regarding the global feedstock markets, could you speak to the trends you're seeing across the waste-focused feedstock markets? And more specifically, are you finding that U.S. 45Z policy is creating opportunities to buy lower-cost feedstock outside of the U.S. as a result of less demand for those feedstocks given the 45Z policy favors domestic feedstocks?
Heikki Malinen: So thank you very much for your question, Derrick. If we do so that Eeva takes the first one and I'll take the second.
Eeva Sipila: Sure. Yes. So Derrick, on the contribution from the fixed assets, it really relates to the performance improvement program. So the topics I touched on the previous slide are the good ones to go back to. I would say, the biggest lever is really around various procurement initiatives. And logistics is important. As the CEO mentioned, it's also supported by more reliable operations. We're able to plan better and planning ahead is always a cheaper option. And then obviously, the head count changes we have done. So those would be maybe, but really the full list it's a wide array of actions.
Heikki Malinen: Okay. So regarding your feedstock question, if I try to sort of focus in on 2 things, one is used cooking oil, UCO, and then animal fat. So of course, if there will be less demand where it'll be unattractive then to, let's say, if the U.S. suppliers will be less financially interested to buy Asian feedstocks and Australian animal fats then, of course, there's a question where does that volume go? And I think on UCO, we have seen some moderation in Asian prices, but not a lot. And it is a question where the UCO will go. I think one area we don't know very well is how much Chinese demand for these products and how much Chinese domestic consumption of UCO will actually grow in the years and whether that will then keep the UCO price in China from maybe declining as one might expect if the U.S. sales are not continuing. But so far, we haven't seen any big material decline in UCO price in China. So let's see. Some of the UCO probably has come to Europe for the time being. Then on the animal fat from Australia, of course, that will need to find a new home. And of course, if there are attractive opportunities to buy that, of course, we will also consider that. So I think we have to wait a couple of months, maybe a few quarters to see how this then starts to play out in more detail. But clearly, it's a very important topic, Derrick, that you raised.
Operator: The next question comes from Artem Beletski from SEB.
Artem Beletski: I actually have 3 relating to Renewables. So firstly, starting with volumes. You made record when it comes to sales and production in Q2, what is the outlook for third quarter volume-wise? The second is relating to fixed costs in Renewables. So there has been quite meaningful decline quarter-on-quarter, I think something like 14%. Has there been anything exceptional and how we should think about the trend during the rest of the year, given the fact that you are still in early phase of performance improvement program? And the last one is I wanted to pick your thoughts on European market, and we have seen that spot RD margins have been improving quite significantly during Q2, also in the beginning. How do you see the situation? What is actually driving this such healthy development given the fact that we are still seeing global overcapacity on the market?
Heikki Malinen: So volume outlook, fixed cost and then European market. Maybe if I just comment on the volume. Of course, we don't specifically guide at the level of granularity that you may be looking, but I think overall, this year we have made good traction on our business. We reported earlier that we have made term contracts that take us until the end of the year, and we have also been doing spot sales. So I hope that we will be able to maintain the current level. But I think we don't really guide in much detail. The market at the moment, I think, is fairly stable as we see it to be. On the fixed costs, big change...
Eeva Sipila: Yes. Maybe it's already, Artem, partly answered, I hope, to Derrick and the previous question around that. There is nothing exceptional, no. I would say that it's a wide area of things. Now obviously, we had a few, as always, when you start these type of initiatives, some low-hanging fruits. So the trend has been very, very rapid on parts. But then again, there are areas where we're more in the sort of just starting so -- and we're very comfortable with the overall EUR 350 million target we have for the performance improvement. So in that sense, I think we are very focused on delivering also in second half on -- because also, when you look at what was discussed on the feedstock costs, we're not seeing much help from that side and the market is oversupplied. So it's really a lot focused on our own actions and driving costs from out anywhere where we can.
Heikki Malinen: But I would like to still say that we have really tried to front-load the fixed cost savings, so really tried to address that as quickly as we can. And that's why we made the structural changes immediately in the beginning of the first quarter and the negotiations were done in record time. So trying to front-load the things we can control ourselves as quickly as we can. Then if I heard you correctly, you were asking about the premiums in Europe. Our read is that partially the German news has been extremely positive. And I think the market is sort of preempting a bit what might be coming out of there. I think that was sort of our read on what has happened here.
Operator: The next question comes from Peter Low from Rothschild.
Peter James Low: You've talked a bit about the increase in SAF volumes in the quarter. Are you able to say whether that was accretive to the overall margin, i.e., kind of are those SAF sales at a higher margin to RD? And just some context to that question, on the call just now, a large European oil major was quite bearish on SAF margins due to rising imports into Europe. And then secondly, can you just comment on what proportion of your sales are sold on term contracts as opposed to a spot basis?
Heikki Malinen: Okay. So maybe if I start. So I think we have said before also that when you -- if you look at the publicly available information on spot pricing, so of course, on SAF pricing -- spot SAF pricing, I guess, is the right way so, of course, there are points in time and they have a value of information, but it is only what it is, right? So our order book is more robust and more versatile. So of course, for us, the SAF business, it's a more refined product than renewable diesel. So we have to we have to get a return on our investment, if I put it this way, to answer your question when we think about pricing. But I don't want to go into more detail and I think I made a comment earlier about the flexibility between RD and SAFs. So of course, if we have to make choices about where we allocate volume based on commercial and financial reasons, then we will use that flexibility. Do you want to continue with the other points?
Eeva Sipila: Yes, yes, I can. So I think the concern on the imports on the SAF side is real. I think there's obviously sort of capacity in Asia that one would expect the Chinese to tap these markets. Remains then to be seen how much really will happen in the second half, but I think we would share that view. Then on the portion of terms. So this obviously is a business decision that we will sort of change in time depending on the market dynamics. And like our CEO said, we are, in that sense, happy to deliver SAF or then if the price is not accretive, then we're happy to sell more RDs. And that is how we look at -- at this point of time, I would say that's a significant -- really a majority of our volumes are turned for this year because there's only 6 months to go, and we have the maintenance breaks coming. So we've obviously wanted to plan ahead so that we can supply our customers. On the RD side, we have some flexibility still out there.
Operator: The next question comes from Nash Cui from Barclays.
Naisheng Cui: Congratulations for the strong results. Two questions from me, please. The first one is on SAF volume growth. So SAF grew 80% Q- on-Q. I just wonder if you can comment on the trend for the second half, please? And then my second question is really our RP and OP margin. I understand it's hard to guide into 2H, but any color will be helpful, especially given diesel crack has been very strong? Or if you can't say anything, I just wonder can you provide some color on the spot margin you are guiding right now, both on RP and OP in July, please?
Heikki Malinen: So if I comment on the first one, I remember we discussed in the previous quarter how will the volume be allocated through the year? Is it front end-loaded, back end-loaded. This is very much, I would say, a bit of a test year because we just don't know ultimately how things will pan out. The 1.2 million should be purchased. And so far, I think it would be our understanding that the summer is reasonably busy. But we just -- I mean, it should be 1.2 million tons the mandated volume by the year-end, not more, not less. Will there be a voluntary demand? I think, as I mentioned earlier in the call, we are seeing, especially cargo companies, parcel delivery companies, I think they are able to price -- or pass on some of the costs to their customers if they have a product and a value offering that works. But I think on the more traditional airline side, that is more difficult. So that's why I think the 1.2 million is probably a realistic number, plus then something on top of that for voluntary.
Eeva Sipila: And then maybe a few comments on the margin. Obviously, in this volatile market, I think we're all following the events and the diesel crack is something that clearly sort of will be impacted by what happens in the oil markets. And with all the geopolitical dynamics, it's very hard to sort of make any sort of statements on that. What I can say that on the OP side, as I said, the second quarter refining margin was a disappointment. We do see the 2 reasons that kind of pulled it down: the supply cost as well as the gasoline exports being more healthy going into Q3. So we're definitely sort of aiming for an improvement in OP. On that and then in RP, we will be really driving the flexibility to the utmost depending then on the market dynamics. But obviously, diesel crack is something that we take what is given, it's not something we can really influence.
Operator: The next question comes from Adnan Dhanani from RBC.
Adnan Dhanani: Two for me, please. First one, just on feedstock. In your presentation, you've highlighted increasing feedstock price opportunity. Could you please just elaborate on what that opportunity looks like and just your outlook on the feedstock market, given we're still seeing a fair bit of price pressure in a number of markets? And then second, on the longer-term SAF demand. Assuming you don't get a bridging mechanism in Europe for SAF until 2030, what are the opportunities in other markets that could help utilize that capacity that comes online in 2027.
Heikki Malinen: Do you want to do the first feedstock, and I'll do the SAF?
Eeva Sipila: Yes. So the feedstock opportunity is really around the flexibility that Neste has that we are able to take various types of feedstock. And now with the U.S. legislation changing and then like was discussed earlier in the Q&A part, it remains a bit to be seen. But obviously, one does expect that the markets within U.S., the prices will go up. But then from some areas where U.S. producers have earlier taken product that they -- with the incentive structure, they are less incentivized to do so. So that could ease a bit the pressure on prices. But so far, this has all been in the news for many weeks and we haven't really seen improvement. So it's really around the opportunity trying to play as a very agile operation and use any opportunities we have. But the strength is really Neste's ability to use many different types of feedstocks.
Heikki Malinen: So your question about SAF demand, I guess, it's more like '27, '28 and '29. So of course, we are going to continue an active dialogue with the commission and also the other stakeholders, airlines, et cetera, to try to find a win-win solution how we could accelerate the demand curve for SAF. so it is more linear. So that's a lot of discussions, a lot of work with the commission and airlines. But let's see, I'm hopeful, but of course, cannot promise anything because that's, of course, the decisions are in the hands of the commission. And then, of course, if we're not able to sell SAF, then we have the option of selling renewable diesel. And as I said before, the European market has been short. There is more demand coming from the implementation of RED III. And then somewhere out of that, we will find our own balance. But the details of that, of course, are still up in the air and we'll have to then see in '27 and '28 when Rotterdam starts what the final game plan is. So stay tuned then, but still a few years ahead from now.
Operator: The next question comes from Iiris Theman from DNB Carnegie.
Iiris Theman: Iiris here from DNB Carnegie. I have asked 2 questions. So firstly, Germany's latest proposal of this regulation proposals. So you mentioned some 2 million ton potential demand impact. Is that more in the long term, I mean, 2030? Or do you think that it could materialize already in the short term, let's say, '26, '27? And secondly, is it still fair to expect SAF sales to increase towards the year-end as you mentioned in the Q1 report?
Heikki Malinen: Thank you. So if I kind of comment on this, so that said, the German decision was positive. The 2 million is probably sort of on the high end. And as usual, traditionally, these things may sort of be watered down as the process goes through the system. So don't know yet what the final number is. But anyway, it's a net -- clearly net positive outcome. In terms of our understanding on how this could go forward, we believe it could show up already in '26, '27. So that would really then help stabilize also the balance of the market much, much sooner than originally planned. And then on SAF, the second half volumes, we, of course, want to be actively participating in the SAF market but I referred to my earlier comment that we really don't yet know how the lifting of SAF in the second quarter -- second half of the year will materialize and how much of that will then, of course, come to Neste vis-a-vis other suppliers. So I can't really comment until we really see what happens.
Operator: The next question comes from Henry Tarr from Berenberg.
Henry Michael Tarr: I had a couple. Firstly, just on the CFPC, you've taken the credit for Q2, but not for Q1 yet. Has something changed to give you confidence to take the Q2 figure? And would it be sensible to think that the Q1 figure, if you gain comfort that you can book it, would be something similar to the Q2 figure? That's the first question.
Heikki Malinen: Eeva?
Eeva Sipila: Yes, if I take that. So thanks, Henry. The Q2, it was really in a sense we're kind of working also, of course, together with our joint venture partner and that we have a sort of common way of doing and also following the industry practice. And we felt then that as the legislation kind of came, the announcements came during Q2 that we now have enough comfort to book for the Q2. But we really wanted to wait for the final sort of information and clarifications to be out before sort of now taking any view on the first quarter because we basically have the whole second half to then take it equally. It's going to be sort of coming late anyway. When comes to the Q1 figures. So indeed, we did say in connection with our Q1 report that we estimate the amount to be in the range of EUR 30 million to EUR 40 million, which is a very similar ballpark that we now booked for Q2. So we haven't changed our view on the number per se.
Henry Michael Tarr: Okay. And then my next question is on the balance sheet. Clearly, you had a good quarter helped by working capital, et cetera. You're still perhaps towards the higher end of the gearing range. Are you still thinking about or would you think about asset sales and divestments? Do you think that's sort of necessary or would be helpful at this point?
Heikki Malinen: Sorry, if I can answer that. So when we kicked off the performance improvement program, so the objective and the target really has been to -- I've said internally that we need to raise the flight attitude of Neste, a bit of an airline analogy here, and really to lift ourselves enough that topics like the one you mentioned will not be of relevance. So of course, let's see how the business develops but I feel very confident that this performance improvement program is going to be successful and that we have -- we're really doing it in a very systematic way. And unless something surprising happens, we should stay within that 40%. We did say in the previous quarter, if you recall that, there may be moments when we temporarily go above 40% and that is not the end of the world, okay? But still plan is to stick with the portfolio we have and try to make more money.
Operator: The next question comes from Henri Patricot from UBS.
Henri Jerome Dieudonne Marie Patricot: Yes. Two questions, please. The first one on the discussions for term contracts for 2026. I was wondering if you already have the sense on if that's likely to be taking place a bit later this year as you expect an improvement in market conditions towards year-end and whether we should expect a change compared to the split 1/3-2/3 that we've seen for 2025? And secondly, going back to some of your comments, Heikki, I around the competitive advantage and the level of backward integration. Can you share with us what sort of level of backward integration you have at the moment and where you're increasing this integration?
Heikki Malinen: So thank you for your questions. So regarding term contracts for 2026, usually the negotiations start in autumn. I can't really say yet how the customers are going to want to do this. Of course, Neste's standpoint, we're ready to have our discussions. But my understanding based on what my colleagues are telling me is that sometime in Q4, that's when the thing really gets busy. So nothing more. I can't really comment on the split regarding 2026. It's really all a function of the state of the market, what we then agree with the customer. So we'll have to come back to that topic then in the spring, probably around the spring of next year when we -- the negotiations are finalized. Then on your question of competitive advantage, I don't really have a number on the percentage off the top of my head, a percentage of backward integration. Maybe we can look into whether we could, for the future reference, come up with a numerical figure.
Eeva Sipila: It hasn't changed...
Heikki Malinen: It hasn't changed. I mean, we have -- in Europe, we're well positioned, especially on animal fats. In the U.S., we're well positioned in UCO. We have long-term partnerships with various suppliers that provide us with the feedstocks. I guess, if I look at our past strategy, it was very much we were thinking about making acquisitions, backward-integrated acquisitions to buy more assets, more collection capacity. I think at the moment, given where we are and the state of the balance sheet, our capital is going to be allocated to Rotterdam and then we have the turnaround in '26. So really, we spend the money there and the sourcing of feedstock will be more through trading, through active engagement with suppliers and then, of course, longer-term supply deals, but not M&A -- backward-integrated M&A.
Operator: The next question comes from Paul Redman from BNP Paribas.
Paul Redman: I had 2 questions. One was -- the first was just on seasonality. So you've got, I think, 80%, tell me if I'm wrong, 80% of your volume -- your renewables diesel volume turned up, but the renewable diesel market in Europe is tight. If we started to see diesel prices come off, would that mean that your term sales prices would be lower despite a tighter renewable diesel price in Europe? So only 20% of your volume will benefit from the tightness in renewable diesel. I just kind of want a bit of education because I'm thinking about seasonality, and normally, you get a tightness in diesel in the summer and a weakness in the winter months. I just want to see whether Neste would be impacted by that or whether renewable diesel and diesel prices are fundamentally delinked nowadays. And then the second one was just on SAF. You say it's very difficult to know what the SAF sales will be for the second half of the year. But is there a concern that you've got a big maintenance program going on in 4Q '25, at which point the SAF market could get tighter if people need to buy to meet mandated levels and you don't have the volume online to provide that. So you kind of miss out on that market? And just in the meantime, how is the extension of the 40B going to drive SAF sales in 3Q before it runs out at the end of September?
Heikki Malinen: So there were 3 questions. Maybe I'll take a crack at the second and third if you want to think about the first one. So let me try to answer this in such a way that, first of all, on the 45Z, our understanding is that it basically equalizes more the domestic SAF production and the import, sort of an equalization effect. But we have sold some SAF from Singapore to North America, also in Canada. And of course, we will look to continue that where demand exists. In terms of Rotterdam turnaround, which is then in October-November time frame, we will, of course, develop an educated point of view on what the demand could be and then we will -- of course, we can drive into inventory. So that is Eeva's comment about working capital. But that's sort of a business decision we'll have to make here after the summer vacation period is over on what is our read on the market. So it is possible that we will have to push more into working capital for that period of time. Backstop, of course, besides Rotterdam is Singapore, that can also produce SAF online, too. So that's a very detailed operating question and a tactical question, and I can't really go into that more. Anything you want to say about the seasonality...
Eeva Sipila: Yes. Maybe on the term sales. So indeed, an element of the term sales is that then it is binding on both sides. Obviously, there is some parts of the pricing can be linked to various market drivers, but that's the kind of we, as a producer, get the visibility into volumes and then the customer gets visibility into pricing. So that's why we are -- I think we tried to sort of warn you from focusing purely on a few sort of spot deals on the markets, any volume we are able to push out extra. And like we were now successful with the utilization rate obviously helps. But certainly, then part of the upside could also be not available. So it's -- that's why we need to think very closely for 26 in a way, how much do we term, how much don't we and with what type of contracts. It's like our CEO said, it's a sort of highly sort of important commercial question.
Heikki Malinen: Indeed.
Operator: The next question comes from Jason Gabelman from TD Cowen.
Jason Daniel Gabelman: The first one is just on kind of global industry rationalization, and I think we saw a decent amount of it last year. Given it seems margins are stabilizing a bit, do you think that's kind of run its course? Or do you think there's still more that needs to be done here given your view that the market, I think, is still a bit oversupplied?
Heikki Malinen: So Jason, thanks for your question. I'm not sure if I would call it industry rationalization, I would more call it postponement of projects. I think what we have seen globally, primarily, especially in Europe, is that plans to add capacity have been withdrawn or postponed. It does actually put Neste in an interesting position because in '27 when Rotterdam starts, if the others do postpone their projects as has happened, we are coming with a new facility, world-class, very competitive assets. So I think the development has been Neste- positive. I can't really say anything more. Other companies will make their own decisions regarding capacity addition for renewables, which is a growth market, by the way. So it isn't really that much of a rationalization question.
Jason Daniel Gabelman: Got it. Well, hopefully, you could say more about the next question, which is on antidumping duties from the EU on U.S. SAF. And just wondering if you have an update on expectations if and when the European Union can pass those and provide some support for Neste's business?
Heikki Malinen: Actually, I don't think we have any information on that, not even aware of what the European Union is planning or thinking.
Jason Daniel Gabelman: Okay. Is there -- well, let me ask it this way. Is there some expectation given that the EU does have antidumping duties against U.S. biodiesel and RD? Is there -- is it -- would you assume at some point you would get this antidumping duty?
Heikki Malinen: I think the primary sort of long-term question has more related to China, and the direction of Chinese investments there is antidumping duty in for Chinese RD. And the question we have discussed in other calls has been about the SAF -- whether SAF would be included in the Chinese antidumping duty. But as said, no new news to report on the Chinese matter.
Operator: The next question comes from Pasi Väisänen from Nordea.
Pasi Väisänen: This is Pasi from Nordea. I have 3 questions. I see that your net assets in renewables is roughly EUR 9 billion. So what are the assumptions behind your valuation model for these assets? And practically in more detail, what is the margin assumption you are using to continue this Rotterdam? And what is your margin giving this EUR 9 billion asset value for Neste? Or are you using maybe ROI assumptions here, but some figure would be helpful on this matter. And secondly, so regarding the leverage, so are we going to see a temporary decision above 40% leverage already in the third quarter due to this inventory effect you were speaking about. And lastly, do you think that the global supply-demand balance would be even better on next year than we have seen in this year? And these were my 3 questions.
Heikki Malinen: So thank you, Pasi. So Eeva, you take the Neste assets and the leverage and I'll talk about the global demand.
Eeva Sipila: Yes. Yes, so we don't publish our sort of internal margin assumptions. You can obviously read something from the annual report notes if you look at the asset impairment information, which we obviously annually do. Our focus is now on improving the profitability and RP and that has the biggest impact on the equation. Then on the leverage, I think what I wanted to say is that we don't expect support from a release of working capital in our cash flow in Q3, rather more relying on the operational cash flow, so not as such sort of meaning it to be that grimmer view. I think we're very focused on being below 40%. But obviously, as you will well know, many things can happen in the turbulence we have on currencies and things like this the last day of the month and that can have some impact. But I wouldn't say that the inventory impact in Rotterdam is that we consider that significant. I just wanted to point out that it will sort of hinder any additional release.
Heikki Malinen: And then on the -- anything else?
Eeva Sipila: No...
Heikki Malinen: and then on your question about the global demand balance for 2026, so I guess if we look at SAF, so probably we will not -- hopefully the EU will come up with some new ideas on -- or implementation of bridging mechanisms for SAF into 2030. Doubt that would happen necessarily in '26. So that basically would then imply that the oversupply in SAF will continue then, if that's the case, because we know the mandate is the 2% and voluntary demand will require more tools. On the RD side, though, as I mentioned, I think Iiris was asking about the implementation of the German program. So if that starts to materialize faster and the RD market has been somewhat short then, of course, that would be a positive for renewable diesel in 2026. But as I said, a lot of moving parts, a lot of uncertainty and really cannot make any sound forecasts about '26 at this time. But that would be my read on what I see at the moment.
Operator: The next question comes from Christopher Kuplent from BofA.
Christopher Kuplent: It's Chris Kuplent from Bank of America. Could I ask on CapEx and your lowered guidance for the year? Maybe go a little bit into detail if you can, where that savings come from, is the budget for the Rotterdam project unchanged or is that one source of it? And if you could give us a bit of, I guess, as a second follow-up question, a bit of an insight into FX exposure of this CapEx. How much of that is locked into euros? And where do you still have exposure to the quite considerable fluctuations we've seen so far.
Eeva Sipila: Well, if I answer your first question. So the -- I would -- the Rotterdam budget is unchanged. So the small decrease that we've been able to sort of push is really on collecting on all going through everything else we had planned and really sort of scrutinizing do we need to do it, how can we do it with a lower budget, and hence, that really comes from the sort of the rest of the CapEx. And obviously, we are very focused on really making sure that we only do the work now that we absolutely feel comfortable doing in this current situation. Then on the FX exposures, so I would say that we're pretty much in Rotterdam approaching a situation where it's work. So all the components are pretty much already at site. So -- and the work, obviously, the work done there is euro based. So I think the sort of FX risk from that point of view starts to be very, very marginal. It's just based on where we are. Now obviously, we will be -- for our maintenance breaks, there are certain components that are priced in dollars. Again, I think we're sort of -- there is not much open purchases. Some maybe, but October comes very soon for Rotterdam, so I think we're -- but something to follow and obviously with the turbulence being such, but not sort of, I would say, a sort of a big factor. But you're right to point it out that the currency impact is obviously something that keeps us all on our toes.
Operator: There are no more questions at this time. So I hand the conference back to the speakers.
Heikki Malinen: So thank you very much for your time and interest today to go through Neste's Q3 -- Q2 results. I'm going to maybe summarize our key message today. I'm very pleased with the progress we started to make on the performance improvement program, and we look forward then to report to you in more detail how we make progress. But as I said, it's been a good start. The Rotterdam project is, of course, of highest importance at Neste. We, at top management, are focusing a lot of our attention and time on that to make sure we make the commitments on budget, EUR 2.5 billion, and then the start then in 2027. I'm also very pleased about the success we've had on the commercial side. It was a big internal sign of confidence that we were able to reach such a good sales volume in renewable diesel and SAF in the second quarter. And then finally, I think it's important to note that after some challenging times on the regulatory front, it now seems that we are having a bit of a tailwind when it comes to regulation, both here in Europe and in the United States and that, of course, is something we need. We focus on our internal actions, but of course, it's important also that we get a bit of a tailwind, and hopefully, that will then start. The wind will start blowing in '26, '27 and '28 also for our industry. So with those words, I wish you all a great summer. I look forward to seeing you then after the end of Q3, and take care. Bye-bye.
Eeva Sipila: Bye.